Operator: Greetings, and welcome to Bridger Aerospace First Quarter Fiscal 2025 Investor Conference Call. As a reminder, today's call is being recorded. It is now my pleasure to introduce your host, Eric Gerratt, Chief Financial Officer. Thank you. Mr. Gerratt, you may begin.
Eric Gerratt: Good afternoon, and thank you for joining us today. Joining me on the call this afternoon is Chief Executive Officer, Sam Davis; and Senior Vice President of Finance and Capital Markets, John Saunders. Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Since forward-looking statements are based on various assumptions, risks and uncertainties, actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those expressed include, but are not limited to, those discussed in the company's filings with the U.S. Securities and Exchange Commission, including expectations regarding financial results for 2025. Management cannot control or predict many factors that ultimately impact future results. Listeners should not place undue reliance on forward-looking statements, which reflect management's views only as of today. We anticipate that subsequent events and developments will cause our assessments to change. However, we undertake no obligation to revise or update any forward-looking statement or to make any other forward-looking statements. Throughout this afternoon's earnings release and call today, we refer to the non-GAAP financial measure adjusted EBITDA. The definition, calculation and reconciliation to the financial statements of adjusted EBITDA can be found in Exhibit A of our earnings release, which is available on our website. We believe adjusted EBITDA is useful in evaluating our reported results as a supplement to and not a substitute for results reported under GAAP. With that, I'd like to turn the call over to Sam.
Sam Davis: Thank you, Eric. With wildfire activity stretching from California to Oklahoma to North Carolina, we experienced many firsts for the company in the first quarter of 2025. Not only was January the earliest deployment of our scooper fleet in history, but our deployment to North Carolina was the farthest east we have fought fires. In addition to the deployment of 2 scoopers in the first quarter, we have had a multi-mission aircraft or MMA, stationed in Oklahoma since mid-February under a Bureau of Indian Affairs contract and a second MMA beginning contract operations in New Mexico in March. The deployment of our MMA fleet provides critical surveillance and real-time infrared imagery, enhancing situational awareness and wildfire response effectiveness across the regions. This early wildfire activity helped to drive record first quarter revenue of $15.6 million, an increase of 184% over last year. We continue to see the wildfire year starting earlier and lasting longer, which is driving increased demand for our aircraft. It also makes our adoption of year-round readiness even more critical. To date, wildfires in 2025 have been above average in count and acreage. So far, there have been nearly 22,000 fires in the U.S., and it is quickly approaching 1 million acres burned to date. As of May 1, per the National Interagency Fire Center, Climate Prediction Center and Predictive Services outlooks issued in late April indicate above normal temperatures are likely across much of the U.S. through August with the West, Northeast, Southern Plains and Gulf Coast most likely to be above normal. Drier-than-normal conditions are expected across the northern half of the West and much of the Plains through August as well. The tragic fires in California and North Carolina this year have continued to elicit calls for regulatory change, including the need for more rapid response and ways to minimize contracting lags and budgeting delays. The good news is that there has been significant movement recently in Congress, where multiple bills have been introduced in the House and the Senate to improve the efficiency and regulatory structure impacting wildfire response. Additionally, we anticipate executive actions as well as additional agency changes that will support and streamline the ability of wildland firefighters to respond quickly and directly to wildfire crisis that threaten the country. It's worth noting that fighting wildfire remains a bipartisan effort with its devastation impacting people of every political affiliation, leading to increased support across party lines. Stay tuned as this develops further. While we expect that there will be beneficial changes at the federal level, there are also changes anticipated at the state level that will enable states to take on a greater role in preparing for and responding to disasters. We continue to actively look for opportunities with states to provide exclusive use of our firefighting assets. We are optimistic that current budgeting and planning cycles will lead to future opportunities. Due to our efforts to continue to increase Bridger's revenue base through exclusive use contracts, we have added 2 contracts to our portfolio. First, we signed a 5-year $20.1 million indefinite delivery, indefinite quantity or IDIQ contract with the U.S. Department of the Interior for 2 air attack and surveillance aircraft for the Bureau of Land Management, Alaska Fire Service. This includes fire detection, logistical support and aerial observation as well as the provision of information to initial attack aircraft focused on direct and immediate fire suppression. This 120-day exclusive use contract is an excellent example of the trend for the government's reliance on guaranteed availability of aerial firefighting assets. Our 2 Pilatus PC-12s left for Alaska on this contract at the beginning of May. In the second exclusive use contract, Bridger was the successful bidder to provide wildfire detection and mapping for its home state of Montana using a specially modified Daher Kodiak 100 aircraft. The exclusive use agreement includes an initial 1-year term with 2 optional extension years. The contract provides for a minimum of 120 days of availability for a minimum annual value of $648,000 with additional days and flight hours incremental to the minimum annual value. With the award of the Montana contract, this committed 7 of our 8 air attack assets to exclusive use work in 2025. Additionally, this contract marks the first joint effort between Bridger and FMS Aerospace in their installation of the advanced sensor system and operator workstation into the Kodiak. We are excited to establish this as the precedent for collaboration with their in-house design and engineering and Bridger's Part 145 modification capabilities since their acquisition on June 28 of last year. Turning to FMS. They contributed $1.9 million in revenue during the first quarter. In addition to partnering on internal aircraft modifications to solidify our competitive edge, we continue to see a number of contracting opportunities, primarily with the DoD and active bids that Bridger and FMS are uniquely positioned to respond to. This will enable us to further diversify our customer base and add more year-round revenue to grow the business. A brief update on Ignis Technologies. Since launching its mobile platform to support firefighters in the field back in June of 2024, several counties, crews and incident management teams continue piloting the app, Ignis' development of its app, Command, Connect and core platforms are all hitting major milestones this year to capture incident management at the team and firefighter level. A major focus on ongoing development is linking Bridger's real-time sensor imagery with the Ignis application, creating a seamless data flow from air to ground. This capability promises to unlock new levels of situational awareness, supporting multi-mission aviation contracts and enhancing both operational effectiveness and safety. The software subscription will be based on the core platform and have tiers for organization size and additional application features. Let me also provide an update on the 4 Spanish Scoopers, which are owned under our partnership agreement with MAB Funding, LLC. The return to service work by our Spanish subsidiary, Albacete Aero, remains on track. The first aircraft has received its certificate of airworthiness and the second aircraft is expected to receive its certificate imminently. The partnership is looking to deploy both scoopers in Europe for the 2025 wildfire season with final contracting discussions nearing conclusion. Bridger is actively moving forward with training activities. The other 2 scoopers continue to undergo their respective return to service work and are scheduled to be ready later in 2025. Discussions to move the partnership with MAB forward are also ongoing. Options for Bridger could include an extension of the purchase agreement as well as lease options as we seek to best determine how to bring these high-margin assets into the business. Before I turn the call over to Eric, I also want to provide some context to the exciting announcement we made at the Aerial Firefighting Conference recently held in Bordeaux, France. We entered into a memorandum of understanding with Positive Aviation to become the exclusive North American launch customer to receive their FF72 aircraft, a state-of-the-art amphibious water scooping firefighting aircraft derived from an ATR 72-600. With rising global demand and a growing short of assets, the FF72 has the potential to be a valuable addition to our fleet looking out into 2029 and beyond. The agreement remains subject to negotiation, but Bridger would serve as the first owner and operator of the FF72 in North America as well as the exclusive North American hub for sales, marketing, in-service support, modification, certification and flight crew and mechanic training for the FF72 aircraft. We would have the opportunity to purchase 10 FF72 aircraft with an option to acquire an additional 10 units at a later date. It has been a very exciting start to 2025, and I'm grateful to get to lead this exceptional team. Let me now turn the call back to Eric, who will talk about our financial performance in the quarter.
Eric Gerratt: Thank you, Sam. Looking at our results for the first quarter of 2025, revenue increased to a record $15.6 million, up significantly from $5.5 million in the first quarter of 2024. While revenue has historically been lower in the first quarter as Bridger completes annual fleet maintenance in preparation for the start of the U.S. wildfire season, the first quarter of 2025 benefited from the early deployment of Super Scooper and surveillance aircraft as well as approximately $1.9 million from the company's acquisition of FMS in June of 2024. Excluding the $5.9 million of revenue for return to service work performed on the 4 Spanish Super Scoopers as part of our partnership agreement with MAB Funding LLC in the first quarter of 2025 and $1 million in the first quarter of 2024, revenue from ongoing operations, including FMS, more than doubled to approximately $9.7 million compared to approximately $4.5 million in the first quarter of 2024. Cost of revenues was $17.2 million in the first quarter of 2025 and was comprised of flight operation expenses of $6.2 million and maintenance expenses of $11 million. This compares to $9.2 million in the first quarter of 2024, which included $5 million of flight operations expenses and $4.2 million of maintenance expenses. The predominantly pass-through costs related to the return to service work for the Spanish Scoopers of approximately $5.6 million and the addition of FMS, which was acquired in June of 2024, were the primary drivers of the increase in maintenance expenses for the first quarter of 2025 compared to the same period last year. Selling, general and administrative expenses were $8.6 million in the first quarter of 2025 compared to $11.6 million in the first quarter of 2024. The decline reflects lower noncash stock-based compensation expense, partially offset by an increase in the market value of our warrant. For the first quarter of 2025, we reported a net loss of $15.5 million or $0.41 per diluted share compared to a net loss of $20.1 million or $0.55 per diluted share in the first quarter of 2024. Adjusted EBITDA was negative $5.1 million in the first quarter of 2025 compared to negative $6.9 million in the first quarter of 2024. A reconciliation of adjusted EBITDA to net loss is included in Exhibit A of our earnings release distributed earlier today. Due to the historic seasonality of wildfire activity in North America, we've historically generated a net loss and negative adjusted EBITDA in the first and fourth quarters each year. Turning now to the balance sheet. We ended the first quarter of 2025 with total cash and cash equivalents of $22.3 million compared to $6.8 million at the end of the first quarter of 2024. The decline in cash from $39.3 million at the end of 2024 is due to expenses related to the bulk of winter maintenance and training activities that occur in the first quarter. With that, I'd like to turn the call over to John to discuss our 2025 guidance.
John Saunders: Thank you, Eric. With the early deployment of Super Scoopers amidst firefighting activity in California, Oklahoma and North Carolina in the first quarter, we continue to see a lengthening of the wildfire year beyond the seasonally strong third quarter. In addition, the 2024 acquisition of FMS, non-aerial firefighting activity and state contracts that place our planes on standby are contributing to more year-round revenue and reduced volatility. With the bulk of the wildfire season still ahead of us, the solid start to the year has resulted in increased confidence in our 2025 guidance. We continue to project 20% growth in adjusted EBITDA at the midpoint of our guidance range of $42 million to $48 million adjusted EBITDA on revenue of $105 million to $111 million. Our current guidance excludes any impact from the Spanish Super Scoopers at this time. As we conclude contracting for the initial 2 Spanish Scoopers and determine how best to deploy them, we will update our guidance as appropriate. The majority of our projected revenue growth is organic and is based on our 6 scoopers, MMA and aerial surveillance aircraft. We will also benefit from a full year of FMS Aerospace. It is also important to note that return to service performed on the Spanish Super Scoopers by our Spanish subsidiary, Albosete Aero, which amounted to just over $10 million in 2024 is projected to be lower in 2025. 2025 should also benefit from a full year of cost rationalization efforts, including the exit of certain subscription maintenance programs and increased operating leverage. We continue to expect to generate another year of positive cash from operating activities in 2025. As a reminder, given the company's largely fixed cost structure and substantial revenue generation in the third quarter, Bridger still expects to generate the majority of its adjusted EBITDA in the third quarter during the peak of wildfire activity. With that, I would like to turn the call back to Sam for final comments.
Sam Davis: Thank you, John. As we sit here today, nearly all Bridger's air attack and sensor-equipped fleet are either committed or currently operational for the 2025 fire season. Four of our scoopers are already ready for deployment and 2 will be ready within a month after completion of annual maintenance, since returning from working into April on fire activity. I'm very pleased with our progress targeting multiyear and exclusive use contracts. Maximizing the number of these exclusive use commitments will help to ensure our fleet remains dedicated to critical wildfire response efforts with the goal of maximizing price and flight hours. Despite the strong year for Bridger last year, we still have significant excess capacity with each scooper flying an average of 350 flight hours, still well below the 500 flight hour limit before heavy maintenance. I also want to say how excited we all are to welcome Megan Pasricha to our Board of Directors. Megan has a wealth of expertise in credit and capital solutions that will be invaluable as we continue to execute our growth plans. Bridger is a critical piece of the nation's aerial firefighting response network, and I'm honored to lead such a dedicated team as we focus on our unwavering mission to protect lives, property and the environment. Together, we stand ready to answer the call to assist our federal and state governments. With a better-than-expected start to 2025, we are well-positioned to drive organic growth in revenue, an increase in adjusted EBITDA and another year of positive cash flow as we seek to generate returns for our stakeholders. With that, I'd like to open the call up for any questions.
Operator: [Operator Instructions] We have a question from Austin Muller from Canaccord.
Austin Moeller: Just my first question here. So in the President's skinny budget request that came out, there's a significant 65% step-up in DHS and Border Patrol funding. Do you have to wait until the fiscal year '26 budget gets passed to get new awards that would be for DHS? Or are there existing contracts under which you're operating that you can generate revenues for surveillance with the PC-12s under the continuing resolution funds for '25?
Sam Davis: Austin, this is Sam. Great to hear from you. I'll turn this one over to John to respond to you, and I'll add any flavor from there.
John Saunders: Yes, Austin, great question. Currently, the PC-12s are on contract, and we are seeing extremely high utilization of those airframes. So we're looking at contract opportunities coming out of the budget. We would likely go after new contract opportunities and fill those contract opportunities either with upselling some of our current air attack, aircraft, leasing additional aircraft, we or purchasing additional aircraft. The Pilatus PC-12s are our highest utilization airframes. And what we're seeing is demand that started in February and is running likely through November for those airframes. So it's unlikely that we would add the PC -- or utilize the PC-12s right now for Border Patrol. We do continue to look at those contract opportunities, and I would point you to the Montana contract opportunity where we took a Kodiak and added a TK-8 and made that available for the state of Montana. So we're continuing to look at other airframes that are in our fleet that can be modified or adding new airframes to the fleet to go after those contract opportunities.
Austin Moeller: Okay. And if we think about Europe for a second, I know you had said that some of the contracts are in the final planning stages, but should we be thinking about negotiations with Turkey and Portugal? Or are there other European countries that are also in the mix?
Sam Davis: Austin, yes, we are talking with those countries specifically. They both have open tenders out there and are very interested in these assets. We have continued to talk with additional countries. As you can imagine, in Europe, the construct of a privately owned, privately operated fleet of CL aircraft is a new introduction there, similar to how we've expanded it here in the U.S. So part of the opportunity is expanding the contracts, both from an appropriations and a multiyear construct. So we're doing that with initial countries that have very high demand for the CL platforms, and we know that others will follow. Initially, those discussions are well underway. the preceding delivery item here is, as I mentioned in my call, the aircraft -- the second aircraft is very imminently near its certificate of airworthiness. As you can imagine, the government entities we're talking to want to see that in hand before contract award. But I'll also indicate the awards that we've seen from Turkey and Portugal for firefighting aircraft that have been delivered early this year, the activity that we see happening. And I'm sure as you've seen, unfortunately, there have been major wildfires in South Korea, although that's not Europe, but Israel as well that are obviously creating the same level of rising demand and kind of unanswered need there in Europe.
Operator: There are no further questions from the phone lines. I would now like to turn the call back over to Mr. Davies. Please go ahead.
Sam Davis: Thank you. Thanks again for joining our conference call today. We look forward to updating you on our progress when we report our Q2 results in August. If anyone has any follow-up questions, please reach out to our Investor Relations. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. Thank you for participating. You may now disconnect.